Operator: Good day, and welcome to the TrustCo Bank Corp Earnings Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Before proceeding, we would like to mention that this presentation may contain forward-looking information about TrustCo Bank Corp NY that is intended to be covered by the Safe Harbor for forward-looking statements provided by the Private Securities Litigation Reform Act of 1995. Actual results, performance, or achievements could differ materially from those expressed in or implied by such statements due to various risks, uncertainties, and other factors. More detailed information about these and other risk factors can be found in our press release that preceded this call and in the Risk Factors and Forward-Looking Statements section of our Annual Report on Form 10-K, and as updated by our Quarterly Reports on Form 10-Q. The forward-looking statements made on this call are valid only as of the date hereof and the company disclaims any obligation to update this information to reflect events or developments after the date of this call, except as may be required by applicable law. During today's call, we will discuss certain financial measures derived from our financial statements that are not determined in accordance with US GAAP. The reconciliations of such non-GAAP financial measures to the most comparable GAAP figures are included in our earnings press release, which is available under the Investor Relations tab of our website at trustcobank.com. Please also note that today's event is being recorded. A replay of the call will be available for 30 days, and an audio webcast will be available for one year as described in our earnings press release. At this time, I would like to turn the conference over to Mr. Robert J. McCormick, Chairman, President, CEO. Please go ahead.
Robert J. McCormick: Good morning, everyone, and thank you for joining the call. As the host said, I'm Rob McCormick, President of the TrustCo Bank. I'm joined today as usual by -- as usual with Scot Salvador and Mike Ozimek. Scot will provide color on lending and credit quality, and Mike will follow my comments with detail on the numbers. In 2023, we crossed an important milestone, our loan portfolio surpassed $5 billion. During the year, we grew residential loans over $192 million and grew our commercial portfolio by over $50 million. We are very happy to report that our loan growth was accomplished without borrowing or broker time deposits. While many see merit in these devices, we think the better practice is funding loan growth from our deposits. That's the TrustCo way. On the subject of deposits, it is noteworthy that our team managed a difficult year very well. Because they had already done the hard work of establishing customer relationships, our bankers were able to grow our total deposits. While some funds shifted from core to time, the important thing is, we kept the customer, retained the deposits and created the opportunity for funds to flow back into core. Of course, the resulting increase in cost of funds affected our margin. The effect was less than it would have been had we borrowed or purchased deposits. In other words, in classic TrustCo fashion, our team turned a potential negative into a positive. Also in 2023 we cleaned up some things that could have hampered us in the future. Like many banks across the country, we were faced with litigation involving overdraft fees. We chose to resolve these matters in the best way that -- in the way that best benefits our customers and shareholders. Although final court approval is pending, we consider it all resolved and that matter behind us. We also took a hard look at our branch network and made the decision to close three locations that did not meet our expectations. We are leaner and more efficient coming into 2024. Also worthy of comment is the fact that our credit quality remains extraordinary. Non-performing assets to total assets were 0.29% at year end. That is the lowest this metric has been in over 17 years. Again, quite an accomplishment by our team in a challenging environment. Finally, as noted in the press release, all of this good work springs from our rock solid capital position. We took advantage of investment opportunities that were in line with our strategy, preserving capital and maintaining maximum flexibility. Because of this, we had cash on hand to fund our loan growth and did not need to chase higher price deposits. No one knows exactly where rates will go or what other factors might come up this year, but we are confident in our position and ready to capitalize on opportunities that arise. Now, Mike will give us detail on the numbers, Scot will cover lending, and then we'll take your questions. Mike?
Michael M. Ozimek: Thank you, Rob. And good morning, everyone. I will now review TrustCo's financial results for the fourth quarter of 2023. As we noted in the press release, the company saw a year-to-date net income of $58.6 million, which yielded a return on average assets and average equity of 0.97% and 9.46%, respectively. Capital remains strong. Consolidated equity to assets ratio was 10.46% for the fourth quarter of 2023 compared to 10% for the fourth quarter of 2022. Book value per share at December 31, 2023, was $33.92, up 7.5% compared to $31.54 a year earlier. Average loans for the fourth quarter of 2023 grew 6.6%, or $309.9 million, to $5 billion from the fourth quarter of 2022, an all-time high. Consequently, loan growth has continued to increase and occurred in all of our loan categories and leading the charge was the residential real estate portfolio, as always, which increased by $192.2 million, or 4.26%, in the fourth quarter of 2023 over the same period in 2022. Average commercial loans increased $50.5 million, or 22.6%. Home equity lines of credit increased $61.8 million, or 22.2%; and installment loans increased $5.5 million, or 50.3% over the same period in 2023. For the fourth quarter of 2023, the provision for credit losses was $1.35 million. The additional provision this quarter is reflection of the current economic environment and not an indication of existing credit issues at the bank. Retaining deposits has been a key focus during 2023. Although core deposits were down compared to prior year, total deposits as of December 30, 2023, increased $158 million to $5.35 billion from the end of 2022. As we move forward, our objective is to continue to offer competitive product offerings of the bank through aggressive marketing and product differentiation. As we have mentioned, we understood the big inflows of deposits during the pandemic were temporary and that is why we did not invest that liquidity into securities or loans or retain that liquidity on balance sheet for when that depositors would absorb those funds. This gave us the flexibility to strategically price core deposits, while retaining core customers. Net interest income was $38.6 million for the fourth quarter of 2023, a decrease of $10.6 million or 21.5% compared to the same period in 2022. Net interest margin for the fourth quarter of 2023 was 2.6% compared to the fourth quarter of 2022. Yield on interest earnings and assets increased to 3.93%, up 39 basis points from 3.54% in the fourth quarter of 2022. And the cost of interest-bearing liabilities increased to 1.72% in the fourth quarter of 2023 than in the fourth quarter of 2022. We continue to be optimistic as we enter 2024. The majority of our CD portfolio has a three to nine-month maturity and will give us opportunity to reprice these CDs in the near term as rates potentially fall. Our wealth management division continues to be a significant recurring source of non-interest income. They had approximately $967 million of assets under management as of December 31, 2023. Now on to non-interest expense. Total non-interest expense, net of ORE expense, came in at $28.8 million, up $1.5 million from the prior quarter. As mentioned in the earnings release, this increases primarily the results of non-recurring expenses for a litigation supplement and also for branch closures. This was offset by decreases in various other categories of expenses. ORE expense, net of -- net came in at an income of $12,000 for the quarter as compared to the expense of $163,000 in the prior quarter. Given the continued low level of ORE expenses, we're going to continue to hold anticipated level of expense not to exceed $250,000 per quarter. All the other categories of non-interest expense were in line with our expectations for the fourth quarter. We would expect 2024's total recurring non-interest expense, net of ORE expense to remain in the range of $26.9 million to $27.4 million. We are optimistic of expenses in 2024. Now, Scot will review the loan portfolio and non-performing loans.
Scot R. Salvador: Good morning, everyone. Thanks, Mike. Total loans for the fourth quarter increased by $43 million in actual numbers or 0.9%. Year-over-year, the increase was $270 million or 5.7%. Residential loans again led the increases with a total of $37 million in quarterly growth. This was split between $22 million in first mortgages and $15 million at home equity price. The full year showed similar trends with $160 million of first mortgage growth and $62 million in home equities. Commercial loans continued to grow, increasing by $5 million on the quarter and by $43 million year-over-year. Overall, residential activity and market trends remain similar to those discussed in the most recent quarters. We continue to post solid net growth in our first mortgage product, although overall purchase activity is reflective of nationwide trends and is slower than in prior year. The midwinter holiday period is, of course, also a slower time of year, although we expect activity to pick up as we begin to enter the early stages of the new season. The recent decrease in interest rates, although modest, is also a positive factor, which should help overall activity. The home equity products continue to perform well overall, with a good amount of activity and net growth. The loan backlog is down from quarter end, which is normal for this time of year, and also down year-over-year. This should begin to build as we progress forward and overactivity increases. Interest rates have come down somewhat, as mentioned, and we currently stand at [6.38%] (ph) for our base 30-year fixed rate. We always have a variety of promotions and product enhancements we are working on. We expect to utilize our status as primarily a portfolio lender to help spur activity and increase growth. Asset quality remains strong overall. Non-performing assets totaled $17.9 million as of 12/31. This is down from $19.1 million in September and $19.6 million a year ago. Non-performing loans have remained relatively flat at $17.7 million, down approximately $200,000 from last quarter and up about the same amount from a year ago. This total equates to 0.35% of non-performing loans to total loans, down slightly from 0.37% in the prior year. Net charge-offs to the quarter totaled $248,000. For the full year, our charge-offs equated to a net recovery of $46,000. The loan loss allowance now stands at 0.97% of total loans as of year-end. And, finally, the coverage ratio or allowance for credit losses to non-performing loans was 275% in December compared to 263% a year ago. Rob?
Robert J. McCormick: That's our story, and we're happy to answer any questions any of you might have.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alex Twerdahl with Piper Sandler. Alex, please go ahead. Your line is now open.
Alex Twerdahl: Good morning, guys.
Robert J. McCormick: Good morning, Alex.
Michael M. Ozimek: Good morning, Alex.
Alex Twerdahl: I was just first hoping that maybe you could sort of just help us get a sense for how the NIM might react to some Fed rate cuts. I think, the first one is not modeled in for May according to the forward curve. And as you kind of think about the CDs that, Mike, you alluded to repricing relatively quickly versus some of the assets that are more tied to the short end of the curve, like, how should we expect the NIM to react to the first couple cuts if and when we get them?
Robert J. McCormick: We've already started backing CD rates down from their high, Alex. And most people are going very short with regard to CDs, so we're optimistic with regard to repricing those to current market conditions at a lower rate later in the year. It's interesting if you offer a 4 -- just a 4.9% CD for three months, or 4.75% for six to nine months, everybody takes the 4.90%. So, it's interesting to watch how the consumer is reacting to that. And I do hope -- we are optimistic with regard to repricing deposits through the balance of the year.
Alex Twerdahl: Okay. So, I mean, I take from your tone that you'd expect that sort of the pace of repricing of the deposits, the rate which accelerated a little bit in the fourth quarter that that should abate in the first quarter. Is that reasonable expectation?
Robert J. McCormick: That would be the hope.
Alex Twerdahl: Okay. And then when I look at the ACL, it went up about 2 basis points during the quarter. And I think you alluded to just some macro -- some changes in macro forecast. What specifically -- I guess, is it one of the one geography versus the other? Or, I guess, what specifically has been driving that ACL? And is that something that, I guess, should creep higher a little bit as maybe a little bit more uncertainty develops in 2024?
Michael M. Ozimek: That certainly could creep higher if uncertainty continues. I can tell you that it is -- I mean, you can see the non-performing numbers. They're better. I mean, they really are flat. So, that's not what's driving the calculation. It is, however, some of the macro numbers, as you alluded to, on some of the unemployment forecasts, some of the housing numbers, that type of thing, that's what drove it a little bit in the fourth quarter. So, if -- to the extent if that that gets worse, we could see a little more. But I think that was a healthy provision for the fourth quarter and I don't see us trending well above 1%. But I think so I'm comfortable where we are now.
Robert J. McCormick: We've been in a net recovery position for a very long period of time now. So --
Michael M. Ozimek: At some point you have to [indiscernible].
Robert J. McCormick: Correct. That's correct.
Michael M. Ozimek: Yup.
Alex Twerdahl: Yeah. I guess, just back to sort of the deposit strategy, you guys have always kept a pretty healthy level of cash on the balance sheet, and that looks like it grew into the end of the year. As I think about that, just relative to the amount of capital you have, it seems like you have so much capital that gives you a lot of flexibility to sort of create liquidity if needed. I guess, do you need to carry such a high level of cash or is that something that maybe can run down and give you a little bit more -- just a little bit more flexibility with deposit pricing and maybe a little bit more aggressiveness in lowering your deposit costs as maybe we're now at a peak in rates?
Robert J. McCormick: You know as much or more about that than we do. Liquidity certainly keeps the wolves off the door and gives you great flexibility to do what you have to with regard to deposit pricing. So, I wouldn't want to see a crazy increase in cash levels, but where we're at right now is not a bad position for the economic conditions and some of the things we're facing in the industry.
Alex Twerdahl: Okay. And then just final question for me, just on expenses, you guys talked about closing three branches and making some tough decisions. Obviously, it's a challenging revenue environment, so that makes a lot of sense. Are there more initiatives underway? I mean, I know you gave the guidance for the year, but are there more things you're looking at if the revenue environment remains challenged to be able to trim expenses?
Robert J. McCormick: Yeah. There are a number of relocations were -- that are pending right now on our branch network, not necessarily closures. And every branch that comes up for maturity is evaluated and all options are open at that point in time. An analysis is done on profitability and influence on the company and everything else, and a decision and a risk assessment is made, and then the decision is made whether we should continue with that lease or not. And we have two or three pending relocations right now that we think are great opportunities for our company, just like we did with Wilton last year. I don't know how closely you track us, but we moved our Wilton branch up the road next to a very popular convenience store, and it's been a great move for us out of a former enclosed mall. So, those types of things are opportunities for us, and we're very happy to take advantage of them. We have further consolidation, you'll see in our Rotterdam locations. We're closing a branch there and selling that. So, you'll see more coming.
Alex Twerdahl: Okay. That's helpful. And, actually, I -- one more question, if I could, just on capital. You guys [Multiple Speakers] pretty healthy level of TCE stocks still trading below tangible book value. Is that -- is buyback something that you would put back on the table in the near term?
Robert J. McCormick: Yeah. We like the idea of the buyback. We have an approved program, Alex, and we've been active in the past with regard to buybacks, and we like the -- we like that idea, especially with regard to book value.
Alex Twerdahl: Okay. Great. I appreciate you taking my questions.
Robert J. McCormick: Thank you.
Operator: Our next question comes from the line of Ian Lapey with Gabelli Funds. Ian, please go ahead.
Ian Lapey: Hi. Good morning, Rob. Congrats on a solid year in a tough, tough environment.
Robert J. McCormick: Good morning, Ian.
Ian Lapey: Good morning. A few questions. First, you talked last quarter about a split the difference loan product, can you give an update on how that's going?
Robert J. McCormick: It was not very well received, Ian, and we kind of walked away from that. I was actually shocked how poorly received it was. I do have to say, if you talk to our mortgage originators, they would say it did introduce us to questions and comments on a lot of real estate transactions, but we didn't get a lot of people to bite on it.
Ian Lapey: Okay. Yeah. It seems like a sensible thing, but --
Robert J. McCormick: I thought so too.
Ian Lapey: Next on -- yeah -- on credit, obviously, terrific, $46,000 in net recovery. What do you expect, though, over the next couple of years for charge-offs? I mean, I assume that it can't stay this good, but when you're underwriting, what type -- particularly with higher rates now, what would be a good expectation for charge-offs?
Robert J. McCormick: You've been with us for several years. We're a pretty conservative company, and I certainly agree economic conditions and some of the changes could drive a little bit more with regard to charge-off, but we don't see them skyrocketing. Our backlog and our shorter-term delinquencies are not climbing. We have a very good handle on our collections, and we just don't see them skyrocketing over the near term, or really even increasing markedly over the near term. So, I think, we're pretty comfortable with where we're at. As far as the net recovery, we've been in a net recovery position for so long now. Excuse me. I don't know how long that can continue, but we don't see that turning dramatically to a significant loss.
Ian Lapey: Okay. Great. And then, lastly, on -- so you've got about $238 million in residential mortgage-backed securities, and I know this is -- most other banks have much more proportionally. But, like, why for you would you buy any of these, given that your -- the core business is to hold fixed rate mortgages, maybe that's generally refers to why [Multiple Speaker]
Robert J. McCormick: Generally what you're saying --
Ian Lapey: [Multiple Speaker]
Robert J. McCormick: Generally, we agree with what you're saying, but we see good opportunities in the mortgage backs, and that's when we jump in and out of them. Sometimes, along the -- your line of thinking, the agencies work pretty well for us, but there have been opportunities to grab some rate on mortgage backs and have jumped in. But the bank's portfolio is really a big mortgage-backed security. So, generally speaking, we agree with you.
Ian Lapey: Right. So why not then? Because I've been struggling with all banks owning this security, given short term funding. So, for you, it looks like yours are yielding about 2.3%. Why wouldn't you sell those and get a tax refund? And then you could reinvest in -- either keep it in cash, or one or two-year treasuries earning double, and then position yourself -- as you said in the release, there could be a number of different interest rate environments, we don't really know, but it seems like that would protect you from a risk management standpoint as well.
Robert J. McCormick: That certainly gets tempting with the way the rate situation is right now. And we do evaluate that pretty regularly. We've looked at that portfolio a number of times and what the tolerance is for that loss. But, overall, we're pretty comfortable with where we're at. But any opportunity we have to do something like that, we would try and take advantage of. You want to add any color to that, Mike?
Michael M. Ozimek: I agree. We definitely look at it. I mean, when we've looked at it in the past, the loss that would generate when we bought higher securities, if you were to go out and buy higher securities, it was just longer than what I guess our tolerance was and our payback window we thought was appropriate. So -- but we definitely look at that. We've looked at that in the past.
Robert J. McCormick: Certainly, others have done that, Ian.
Ian Lapey: Okay, great.
Robert J. McCormick: Okay.
Ian Lapey: Yes. No, I just -- I've been surprised with how much. And, like I said, you've done much better than the vast majority of others, but it just seems like a strange investment for a bank to make.
Robert J. McCormick: Thank you, Ian.
Ian Lapey: Okay, well, great. Thanks, guys. And, again, congrats on a good year.
Robert J. McCormick: Thanks.
Michael M. Ozimek: Thank you.
Robert J. McCormick: Same to you.
Operator: Our next question comes from the line of Greg Roeder with Adirondack Funds. Greg, please go ahead. Your line is open.
Greg Roeder: Good morning. Hey, just a question on --
Robert J. McCormick: Good morning, Greg.
Greg Roeder: Good morning. Time deposits in the quarter were up, like, 16% sequentially. Total deposits were up for the first time meaningfully. So, I'm curious, you're saying that it's a move from core to time and I get that, but it was probably a little bit more than that. I'm just curious if you could provide some more color, new accounts, bigger accounts, did you go out longer in -- on the term?
Robert J. McCormick: No. Well, we're very much relationship driven, Greg, so a lot of the time deposit accounts come with the requirement for core. And I said in my part of the presentation that we work with our existing customers and work those relationships as much as we possibly can and work our customer base and our portfolios to see who has what product and try and cross-sell additional products to those customers. So, I think, certainly core has risen as a function of the time deposits coming in. And I would say that it's --
Greg Roeder: Yes.
Robert J. McCormick: As much a shift as new time deposits. There was desperation. The rates had been so low for so long, there had been a lot of desperation in the population for higher rates. So that you saw a lot of people take the jump into time at that point in time. So -- but, I think, our relationships are generally strong.
Greg Roeder: So, when -- perhaps -- yes.
Robert J. McCormick: Go ahead, Greg.
Greg Roeder: Perhaps, when the tenures started kind of moving back down, people kind of made the jump and tried to lock in, is that fair?
Robert J. McCormick: I would agree with that. I would say, I think, we were slower to move than most, and I think that speaks to our customer base and the strength of our customer base, and I do think we were slower to move. But when the rates did start to drop and you saw a significant change, I think people looked at opportunity.
Greg Roeder: Great. Well, thank you very much, and good year.
Robert J. McCormick: Thank you.
Michael M. Ozimek: Thank you.
Robert J. McCormick: Same to you.
Operator: We have no further questions, so I'll hand the call back to Robert for closing comments.
Robert J. McCormick: Thank you for your interest in our company, and have a great day.
Operator: Thank you, everyone, for joining us today. This concludes our call, and you may now disconnect your lines.